Operator: Good morning. My name is Richard, and I'll be your operator for today. At this time, I would like to welcome everyone to the Ecopetrol Fourth Quarter 2018 Results Conference Call. [Operator Instructions]. María Catalina Escobar, Head of Capital Markets will begin the conference today. You may begin.
María Catalina Escobar: Good morning, everyone, and welcome to Ecopetrol's Earnings Conference Call and Webcast in which we will discuss the main financial and operational results of Ecopetrol for the fourth quarter and full year 2018. Before we begin, it is important to mention that the comments in this call by Ecopetrol senior management can include projections of the company's future performance. These projections do not constitute any commitments after future results nor do they take into account risk or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call.  The call will be led by Mr. Felipe Bayón, CEO of Ecopetrol. Other participants include: Jaime Caballero, CFO; Alberto Consuegra, acting CEO of Cenit; Jorge Calvache, Exploration Vice President; Rafael Guzman, Technical Vice President; and Tomás Hernández, Vice President of Refining and Industrial processes.  We will begin the presentation with the main achievements of the year 2018 followed by the highlights by business segment and financial results under international finance reporting standards. We will close with the outlook for 2019, 2021 and a Q&A session. I will now hand over the presentation to Ecopetrol's CEO, Felipe Bayón.
Felipe Bayón: Thank you, Maria Catalina. Welcome everyone to our 2018 full year results conference call. I am pleased to share with you some outstanding operational and financial results for Ecopetrol. Net income increased to COP 11.6 trillion, the highest of the past 5 years and almost twice that of 2017. The Group's EBITDA, on the other hand, reached COP 30.8 trillion, the highest in Ecopetrol's history and our EBITDA margin reached a solid 45.4%. This excellent financial outcome was a result, amongst other factors, of a strong operational performance across all of our segments basis for the increase in oil and gas production and the upward performance of crude prices.  Let now go to the next slide. Initiatives, like replacing some of the imported crude for local ones to lower our refineries, lower imports of products and higher production allowed us to deliver better financial results. Our commercial strategy remains very strong, and it allowed us to have a stronger presence in high-value markets for our products. Thanks to this initiative, the discount of our crude export basket with respect to Brent, decreased to 11.9%, a significant improvement when compared to the 12.7% that we saw in 2017. This in an environment of higher oil prices. We took advantage of market opportunities to leverage our financial results. The increase of 31% in the Brent price during the year and the stability in the peso-dollar exchange rate led to a better realization price in pesos. Let's go to the next slide to talk about the excellent operational performance of the Group. Continuing with the positive trend of reserves additions shown in 2017, during 2018, we reached a reserve replacement ratio of 129%, the highest of the past 4 years. This means that for every barrel of hydrocarbons we produced, we incorporated 1.29 barrels of proven reserves. In line with the production target for the year, we achieved an average production of 720,000 barrels of oil equivalent per day, even amidst some operational events on public order difficulties that occurred in the first quarter of 2018.  I would like to point out that during the fourth quarter of 2018, we reached an average production of 733,000 barrels of oil equivalent per day, a very good exit rate to support our 2019 production goals.  In exploration, we drilled 17 wells with a geological success rate of 46%. With this, we surpassed the 12-well target established at the beginning of the year by 41%.  In Brazil, we entered the Santos basin, one of the most prolific worldwide basins, thanks to the award of the Pau-Brasil block in consortium with BP Energy and CNOOC petroleum. Additionally, we acquired a 10% stake in the Saturno block in partnership with Shell and Chevron. This operation is pending approval by the national petroleum agency in Brazil. In the Gulf of Mexico, during the process of the lease sale 251 round, we were awarded the Green Canyon blocks 404, 405, 448 and 492. In the midstream, I would like to highlight that theSan Fernando-Apiay system and the P135 expansion became operational during the year to contribute to a more robust transportation system. Downstream had an outstanding operational performance.  In the year, we reached the historical maximum stable throughput of 373,000 barrels per day for both refineries. In line with our commitment to improve air quality in the country, we have taken advantage of greater synergies between both refineries as well as making operational adjustments in transportation and logistic systems to produce cleaner fuels.  In December, the diesel that was distributed in Colombia had an average of 16 parts per million of sulfur and the gasoline an average of 108 parts per million of sulfur. This in contrast to regulations of 50 parts per million for diesel and 300 parts per million for gasoline. I will now pass the floor to Jorge Calvache who will comment about the exploration results.
Jorge Calvache: Thank you, Felipe, I'm pleased to inform that during 2018, we managed to secure important and strategic alliances with world-class partners that bring offshore experience. It is important to highlight that on the international front, as already announced during the third quarter, we increased the investment portfolio of the Group in the Santos basin. One of the most attractive basins with major potential in the Brazilian Pre-Salt. Meanwhile, during the fourth quarter 2018, Ecopetrol signed a participation agreement in the Saturno block located in the central area of the Santos basin, which was awarded to Shell and Chevron during the Fifth Pre-Salt Bidding Round. This agreement is pending approval of the Ministry of Mines and Energy and the National Agency of Petroleum, Natural Gas and Biofuels of Brazil. Under these new arrangement, Ecopetrol will have a 10% participating interest, with Shell as operator at 45% and Chevron at 45%. Likewise, the affiliate Ecopetrol America Inc. was awarded the Green Canyon blocks for 404, 405, 448, 492 in the Gulf of Mexico during the Gulf of Mexico lease sale 251.  During the fourth quarter of 2018, we drilled 8 exploration wells, which brought us to a total of 17 wells exceeding our annual goal. We close the year with 6 unsuccessful wells, 7 were plugged and abandoned and 4 remain under evaluation, which amounts to an exploration success rate of 46%.  This allowed Ecopetrol to incorporate more than 250 million barrels of oil equivalent in discovered resources, leveraging the increase in results for the group. This results proves our commitment to maintain the exploration activities as one of the pillars of growth for the Group. In the Colombian onshore basins, efforts were concentrated in near-fill activity close to existing production infrastructure to take advantage of these existing facilities to bring production on an early stage.  That was the case for Andina-1, Jaspe and Cosecha C-01 project. The well Infantas Oriente-1 drilled during the 2017 drilling campaign, was recognized as successful in 2018 after finishing formation testing and was declared commercial in record time during the second quarter 2018. By year-end, exploration contributed to the Group production with an increase of around 3,500 barrels per day equivalent. These results was achieved, thanks to the extended test in the discoveries of Bullerengue, Andina, Infantas Oriente-1, Jaspe-6D, Cosecha C-01 and Rex Northeast. As for Colombia offshore activities, we increased our participation from 50% to 100% in the blocks Fuerte Sur and Purple Angel in the Sinú offshore basins, which were relinquished by Anadarko. For block COL5 in this offshore basin, we requested the National Hydrocarbons Agency to convert the technical evaluation permit into an exploration and production contract with 100% interest with the aim to diversify and strengthen the National exploration portfolio. During 2018, we acquired a total of 60,803 square kilometers of 3D seismic and 61,287 kilometers of 2D seismic, exceeding the initial goal for 2018.  Now I'll turn to Rafael Guzman, who will comment on our production results.
Rafael Guzman: Thanks, Jorge. At the end of 2018, the net proven reserves of Ecopetrol's Group were 1,727 million barrels of oil equivalent, with a net addition of 307 million barrels. The average life of reserves is 7.2 years, improving the 7.1 years reported for 2017. The reserves replacement ratio was 129%, the highest in the last 4 years. It is important to note that in 2018, and in accordance with our goal of replacing at least 100% of production, excluding the effect in oil prices, Ecopetrol's performance succeeded in replacing 109%.  It is important to highlight the record of increase in reserves associated with the recovery program, which added 129 million barrels of oil equivalent. The main contributors were Chichimene, Castilla and Teca field. Likewise, the addition of 57 million barrels of oil equivalent by extensions and discoveries represents the largest incorporation of this concept in the last 5 years. This result was very satisfactory as they are both pillars of the company's reserves and production growth. The recovery program continues to support our growth and value-generation strategy. Approximately, 23% of the current production comes from fields that use some kind of secondary or tertiary recovery technology, 167,000 barrels oil equivalent per day in 2018 came from fields under the Recovery program.  Consistent with our strategy, the increase in reserves as a result of the recovery program in 2018 marked a milestone for Ecopetrol. During the 8-year period, between 2010 and 2017, the average addition of reserves through recovery was 36 million barrels per year. In 2018, the incorporation was 129 million barrels. In volume metric terms, the recovery program in 2018 incorporated 77% more barrels compared to the previous year. The largest portion of this reserve addition is the right from water injection with 90 million barrels. Likewise, we highlight the addition of 39 million barrels, thanks to tertiary recovery techniques. 2018 marked the first year that Ecopetrol adds reserves from continuous steam injection technology in the Teca field, demonstrating the great potential to increase recovery factor through this technology.  Let's go to the next slide to talk about the production result for the year 2018. In 2018, we reached an average production of 720,000 barrels of oil equivalent per day, consistent with the goal established at the beginning of the year. Production reached an average of 733,000 barrels of oil equivalent per day in the fourth quarter. This result was achieved, thanks to the drilling campaign in La Cira, Rubiales, Chichimene, Dina, Dina and Castilla fields, and the positive response of the secondary and tertiary recovery. By the end of 2018, we had 46 drilling rigs, which represents an 84% increase compared to 2017 year-end.  With 579 development wells drilled in 2018, we exceeded by 18% those drilled the previous year, evidencing the increase in activity during the year. We have improved the efficiency of recovery through water injections in the fields during the last 3 years. Today, we are 70% more efficient in the production of crude oil per each barrel of water injected. Now I turn to Alberto, who will comment on the result of the transport segment.
Alberto Consuegra: Thank you, Rafael. By the end of December 2018, the segment continued achieving positive financial results with an EBITDA close to COP 8.7 trillion. This represented an increase compared to last year's an 80% EBITDA margin. However, 2018 was driven by efforts made in order to repair the Bicentenario oil pipeline on the southern systems. This was a challenge, considering the difficult situation caused by 104 terrorist attacks and 1,100 illegal valves. Besides the fact that such circumstances were assessed as operative challenges, a significant monetary effort was also required given that the segment spend more than COP 157 billion on an emergency response.  Despite the damages caused by third parties to the Caño Limón-Coveñas system by year-end, expected levels of crude evacuation were achieved. The reversals made in the Bicentenario oil pipeline played a key role in maintaining the transported crude levels. By December, a total of 53 reversion cycles were made. Approximately, 75% of the volume of oil transported is owned by the Ecopetrol Group. During the year, the midstream transported 1,110,000 of crude and refined products per day, which represents a volume growth of 2% compared to the same period last year.  During the fourth quarter, there was evidence of increased in Castilla Norte crude evacuation and also in fuel demand. Regarding the transportation of refined products, there was an increase of 1.9% compared to last year's. This rise came from higher local demand, higher production availability from the Barrancabermeja refinery and operating improvements made to the transport system, supported in an increasing capital invested in pipeline integrity and reliability, which amounted to $221.4 million. Approximately, 33% of the volume transported by pipelines corresponded to Ecopetrol products.  It is important to emphasize that during 2018, refined products pipelines assured full compliance of environmental regulations through the reduction of carbon emissions and local sulfur requirements. Additionally, the greater availability of products from Barrancabermeja refinery contributed to maximize the use of Cenit's evacuation schemes. Our priorities for 2019 in terms of sustainability and growth include investment in integrity of our systems, reinforcing a multimodal strategy, improving capacity of refined product pipelines in order to meet the local requirements, the optimization of our port systems and connection of local refineries. With this, I hand over the call to Tomas Hernandez, who will comment on the refining segment results.
Tomas Hernandez: Thanks, Alberto. We're pleased to report that in 2018, the refining segment maintained a stable operation, good operational performance and 0 process safety Tier 1 events, thanks to the strong operational discipline, process optimization focused on crude slate improvements in both refineries, and plant reliability initiatives that increased operational availability of key process units, reaching an average throughput of 373,000 barrels per day between the 2 refineries.  In addition, the effective implementation of margin initiatives, synergies between the refineries as well as operational adjustments in the transport and logistic systems, partially offset the impacts of a more challenging international price scenario, compared to the previous year, and allowed the production of cleaner motor fuels for the country. In the fourth quarter of 2018, the Cartagena Refinery reached an average throughput of 150,000 barrels per day versus an average of 147,000 barrels per day in the same period of 2017, increasing its percentage of domestic crudes in the feed slate to 77%, compared to 66% in the fourth quarter of 2017. The throughput for the year also showed an increase, achieving an average of 151,000 barrels per day, which represented an increase of 12% compared to 2017. The growth margin in 2018 increased by 15% compared to 2017 as a result of the good operational performance and the implementation of margin initiatives.  The margin in the fourth quarter decreased by 28% mainly due to lower gasoline and NAFTA price differentials, in line with international market behavior. The Barrancabermeja refinery also maintained a stable operation. That throughput in the fourth quarter of 2018 increased by 3%, reaching an average of 229,000 barrels per day. This was the result of the effective implementation of crude segregation initiatives that allowed increasing light crude availability to the refinery. In line with the above, the 2018 throughput increased by 6% over that of 2017, reaching an average of 222,000 barrels per day.  The margin in 2018, however, was lower, reaching $11.8 per barrel versus $13.5 per barrel in 2017, mainly due to lower product price differentials versus Brent, in line with international market behavior, primarily in gasoline price differentials. The lower gasoline price differential was partially offset by higher yield of mid-distance. During 2018, in our petrochemical area, Esenttia demonstrated excellent safety performance and its stable operations as well as cost optimization efforts helped offset higher price and volatility of overall material. On the biofuels front, in 2018, in a second year of operation, Bioenergy continued with a stabilization phase, reaching a production of 47 million liters of ethanol versus 36 million liters in 2017.  The ethanol plant completed its first major turnaround with successful results obtained during the industrial plant performance test conducted in the fourth quarter.  Now, I turn the presentation over to Jaime Caballero, who will comment on the financial results for the period.
Jaime Caballero: Thank you, Tomás. The excellent financial results reported in 2018 reflect the benefits of being an integrated company that has succeeded in maintaining its capital discipline, profitable operations and value generation to its shareholders. In 2018, we reached an EBITDA of COP 30.8 trillion, the highest in Ecopetrol's history, and a net profit of COP 11.6 trillion, the highest since 2014. I'd like to point out the significant contribution of the upstream to the Group's EBITDA, which contributed 65% compared to 57% in 2017. In line with our commitment to a profitable operation, EBITDA per barrel continued its positive trend and closed the year at $39.8 per barrel, while EBITDA margin reached 45.4%, up 3.6% versus 2017.  With this result, Ecopetrol continues to consolidate as one of the most efficient companies among its integrated corporate peers. In terms of balance sheet strength, our main leverage indicators dropped significantly. During 2018, we prepaid debt for $2.5 billion and maintained a solid EBITDA generation. As a result, the gross debt to EBITDA fell to 1.2x down 37% over the year, while net debt to EBITDA came to 1x, down 33% versus 2017.  Our growth was highly profitable. We increased our ROACE by 52%, going from 8.6% in 2017 to 13.1% in 2018. Likewise, the net income breakeven closed at $38.1 per barrel. Let's move onto the next slide to see the evolution of net income. Net income for 2018 totaled COP 11.6 trillion, 76% higher than the previous year, being the highest of the last five years. Our revenues grew COP 12.6 trillion, an increase of 23% versus 2017, largely driven by the company's operating achievements and stronger Brent prices. Going from $55 per barrel in 2017 to $72 per barrel in 2018.  Cost of sales, excluding depreciation and amortization, increased some COP 4.8 trillion, largely due to the net effect of lower volume of crude oil purchase for COP 2.2 trillion, thanks to the decreasing imports of light crude as feed stock for the Cartagena Refinery and lower imports of products. Increase in the average price of domestic purchases and imports of crude oil and products were COP 5.4 trillion, and increase of COP 1.6 trillion as a result of greater operational activity in line with the higher production, higher level of throughput in the refineries, and the entry into operation of San Fernando-Apiay system and the P135 in the midstream segment. Depreciation expense was mainly reduced by the effect of the higher incorporation of reserves in 2018 compared to 2017, partially offset by an increase in CapEx for the year on a higher production level.  Operating expenses increased 9.7% versus 2017, mainly due to the net effect of the accounting profit generated in 2017 by the recognition at fair value of the acquisition of 11.6% of the additional interest in the K2 field and the profit on the sale of minor fields. These operations are not recurrent and positively affected the result of 2017. Additionally, in 2018, the wealth tax was eliminated, which was partially offset by higher environmental emergencies expenses due to attacks on the transport system by third parties.  Now let us move on to the nonoperating financial results. The 8.9% devaluation of the peso against the dollar in 2018 versus the 0.6% appreciation in 2017 yielded a gain from exchange rate fluctuation of COP 0.4 trillion, given the Group's average net asset position in dollars. Due to the optimization of the Group's net position and the adoption of hedge accounting policy, we have minimized the risk associated with exposure to exchange rate fluctuations.  During 2018, we had savings in financial expenses due to prepayments of debt and the lower interest rate of loans indexed to CPI. The effective tax rate for 2018 stood at 37% versus 43% in 2017. This decline was largely due to the positive impact of the reduction in the presumptive tax rate to 0% starting in 2021, paid under the new financing act. This allowed the recognition of an active deferred tax in the Cartagena Refinery and in Bioenergy. Additionally, this lower tax rate was leveraged by lower nominal tax rate as a consequence of the 2016 tax reform and the improved results of the Cartagena Refinery, which is taxed at a nominal rate of 15%.  During 2018, as a result of the annual exercise of comparing the book value of assets against its market value under IFRS standards, a net of taxes impairment expense of COP 254 billion was recognized versus 2017. The detail by segment is the following: In upstream, COP 670 billion were recovered as a result of incorporation of new reserves, better production of Brent prices in the short term and the updating of technical and operational available information; in downstream, an impairment of COP 805 billion was recognized mainly due to: Firstly, at the Cartagena Refinery, the expectations of the impact of Marpol on the projection of margins of refined products as well as the differential of light and heavy crudes that service raw materials and the discount reduced for the assets valuation; secondly, in Bioenergy, due to lower projected short-term ethanol prices, the updating of short-term agricultural variables and the discount reduced for the assets valuation.  In midstream, an impairment of COP 119 billion was recognized, mainly due to the lower projection of transported volumes in certain systems and an increase in CapEx to mitigate operational risk. Let us now move onto the next slide to see the business Group's cash flow. At the end of 2018, Ecopetrol maintained a solid cash position of COP 14.5 trillion, even with the debt prepayment of $2.5 billion and the early voluntary payment of capital gains taxes, totaling COP 3 trillion carried out in accordance with degree 21.6 of November 2018. Cash flow from operations before working capital totaled COP 25 trillion as a result of improved price scenario and efficient operational performance across all business segments. The COP 3 trillion variation in working capital was mainly associated with the accumulation of COP 1.6 trillion in receivable accounts from the Fuel Price Stabilization Fund, FEPC. Cash flow from investment activities showed outflows of COP 8.5 trillion, largely due to higher CapEx investments, mainly in the fields Castilla, La Cira, Rubiales, Chichimene as well as Ecopetrol America and Hocol fields. Cash flow from financing activities yielded cash outflows of COP 15.8 trillion where we highlight, COP 4.4 trillion distributed as dividends to our shareholders and minority shareholders in the midstream subsidiaries and cash outflows for COP 11.4 trillion due to debt prepayment and periodic amortization of principal and interest payments.  The company's final cash position of COP 14.5 trillion includes cash and cash equivalents for COP 6.3 trillion and short- and long-term investment portfolio for COP 8.2 trillion. Let us now move on to the next slide to view investment performance. During 2018, Ecopetrol's Groups' cumulative investments totaled $2.9 billion, 32% more than in 2017, in line with our focus on ensuring the company's growth and future sustainability.  The exchange rate depreciation during the fourth quarter of the year implied a lower-activity cost in dollars equivalent to $87 million. When normalizing the exchange rate for the established in the investment plan, we will have reach an investment equivalent to $3 billion, in line with the revised investment target indicated at the 2Q results call, 73% of the investments were allocated to growth activities and 27% for operational continuity, in line with increasing reserves and production of the year. The increase in CapEx leveraged incremental production of 51,000 barrels of oil equivalent per day, during the year and 54% of reserves addition. Thanks to the execution of development and recovery projects. The higher activity was reflected in the drilling of 579 development wells, which represented an increase of 18% compared to 2017. Further investment in 2018 were concentrated on deploying additional exploratory activity and increasing the presence in international blocks, in line with the strategy of diversifying and strengthening our exploratory portfolio.  Finally, I would like to point out that during 2018, we achieved operating efficiencies of $242 million, which were also reflected in the lower execution of CapEx. I will now pass the floor over to the CEO for his final remarks.
Felipe Bayón: Thank you, Jaime. I am pleased with our financial and operational results for the year. We've shown operational stability, growth in production and reserves and a very solid financial strength. We have already fulfilled the value proposition of our 2020 strategy, which is the basis for sharing with you the updated 2019, 2021 business plan. The plan is based on the same 3 value-generation pillars. Capital discipline, cash protection and efficiencies and reserves and production growth. Additionally, we continued to see the benefit of being an integrated company and having a solid core business in Colombia, which gives us sustainability in the long term.  The reserves and production growth will be supported by 4 main levers: The increased recovery of the existing fields; exploration in Colombia; international presence, which includes both organic and inorganic businesses; and the development of unconventional resources potential.  Finally, to support the strategic pillars, we will have 6 main levers: Commercial transformation; strategy to develop natural gas; digital and technological transformation; the new wave of efficiencies; ESG initiatives; and lastly, energy transition.  Let's now go to the next slide to see the main objectives of this plan. The Group's total production will reach 750,000 to 770,000 barrels of oil equivalent per day in 2021. And we aim to replace 100% of the total used reserves without including the effect of the price. Transported volumes will remain relatively stable and we hope to continue with the positive trend of maximizing throughput in both refineries, in line with our objective of profitable growth we will reach a ROACE that exceeds 11%. Finally, we will maintain a solid cash generation target under robust leveraged metrics that favor our investment grade rating. I will now open up the floor for questions and answers. Thank you very much.
Operator: [Operator Instructions]. Our first question online comes from Frank McGann from Bank of America.
Frank McGann: Two questions, if I could. One is just in terms of output for 2019. I mean, you had a really nice tick up in the fourth quarter versus the third quarter. I was wondering if 733,000 barrels of equivalent per day is something that's sustainable, you think, for the full year? Or would you see perhaps a little bit lesser growth from the average that you have from 2018 average? And then secondly, in terms of your cost structure going forward on the upstream side, the increasing use of energy that you've highlighted in order to continue to increase output at some of the mature fields as you -- your secondary and tertiary recovery. How should we think of that in terms of the cost structures as we go forward? Is that likely to lead to any important changes in overall lifting cost going forward? And any perspective on that would be helpful.
Jaime Caballero: Thanks for being in the call today. So in terms of the production, rightly so, you're saying, we did end up 2018 very strongly with a 733 mboed number having started the year in 701 mboed. So clearly the year was good. The average was 720 mboed. As we go forward, we've signaled the following: We've said 2019 is 720 mboed to 730 mboed, and I'll go back to give a bit more color around this. 2020 is 740 mboed to 760 mboed that's the average, and 2021 is 750 mboed to 770 mboed. So you see that there is a growth that would equate to 3% CAGR. In terms of this year, we've signaled 720 mboed to 730 mboed. There's a couple of things we need to take into account. Clearly, we ended up the year 2018 4Q with a high level of activity, lots of bids turning right, lots of activity in terms of projects and the likes. But I think it's important to always remind ourselves, we do have decline in the field, so we need to, a lot of the times, run very quickly to stay still. And we have some planned maintenance, major maintenance in some of our facilities. So I think that's why, we feel comfortable in the 720 mboed to 730 mboed range. In terms of cost structure I'll ask Rafael Guzman to give us some views in particular in light of how we see this in mature fields and EOR projects and the likes. Rafael?
Rafael Guzman: Yes, hello, Frank, this is Rafael. You rightly pointed that one of the drivers for the increasing cost and lifting cost is energy and we have seen both an increase in the energy consumption and thus, due to additional activity. We have more wells. We are producing more from these wells, and also injecting more -- more water for enhanced recovery. And in addition to that, we also saw an increase in the tariff we would pay for the energy. So we're very well aware of this driver. And what we have put in place for the future is a whole transformation in terms of energy where we look for different sources of energy. We try to differentiate. We will have different sources of energy and also, lower our cost of the energy we are using. So we do not see that this will be a continuous increase in the lifting cost. And as I said, we have a plan to mitigate any effects of additional or extra cost in this line.
Operator: Our next question online comes from Carlos Rodríguez from Ultraserfinco.
Carlos Rodríguez: I've got two questions. The first one is regarding the Cartagena Refinery. I want to understand a little bit more, why Marpol regulations towards the diesel vessels affects negatively the refinery. As in previous calls, my understanding was that this regulation was positive for the refinery. And my second question is regarding downstream. Why was more challenging the margin for the Cartagena Refinery than Barranca as both refineries had to deal with lower gasoline prices?
Jaime Caballero: Carlos, this is Jaime. I'm going to take the first one around Marpol. It's not clearly -- I think it's a good question. It's not that Marpol affects negatively the refinery. On the contrary, it actually has a very positive effect on the refinery. And I think the issue with regards to the impairment testing, it's that the outlook on longer-term prices change from one year to the next. It's still a positive outlook. If you think about it, we are talking about margins that are materially -- the expected margins for the refinery are significantly higher than the margins that we have currently. But they are lower than the margins that were forecasted a year ago when we did the impairment testing for 2017.  What is behind this is essentially a market consensus that the expected effect on heavy crudes is going to be lower than it was anticipated. A year ago, the view was that Marpol was going to be extremely disrupted with regards to heavy crude valuations. And in that regard, the refinery benefited enormously by that. That is still the case to a large degree, but it's a more conservative scenario than the one that we had a year ago.  Obviously, from a growth standpoint, this revised view around Marpol actually benefits the upstream business. And from a consolidated standpoint, it's -- it doesn't have any effect. I think the second -- I'm going to ask Tomas to take the second question, if that's okay?
Tomas Hernandez: Yes. Thank you, Frank. With respect to the difference between the margins between Barrancabermeja and Reficar Carlos. Remember that in Reficar, we have production of naphtha, which -- the prices for naphtha and gasoline, but naphtha in particular for Reficar had a significant impact. We saw prices -- lower prices like we hadn't seen in 5 years for naphtha. In gasoline, obviously we saw it in both places. But -- and Barranca was helped by the crudes -- the proximity to the crude's to the refinery. As you know, so that they have a location advantage for the crudes close to the refinery. And fuel oil in the fourth quarter helped Barrancabermeja, obviously, which doesn't help Reficar. The strengthening of the prices of the fuel oil helped Barrancabermeja in the fourth quarter, help offset some of those gasoline price differentials.
Operator: [Operator Instructions]. Our next question online comes from Gabriel Barra from UBS.
Gabriel Barra: The first one is about the company striking pilot know it's good. But could you give us some of the data, on when you expect to receive the environmental license? And after the license, can you give us more color on what are the next steps in order to start the drilling process of the first pilot. And the second one is about the midstream business. We saw strong increase 14% year-over-year and 24% quarter-over-quarter in sales. However, the volumes have increased of only 2% year-over-year and remain almost flat in quarter over quarter comparison. Can you provide more details on the midstream top line result and what impacts have driven the better results in the quarter?
Felipe Bayón: Thanks, Gabriel, this is Felipe. I'll take the first one, and I'll ask Alberto Consuegra to take the second one. So in terms of the pilots for the unconventionals, I think it's important to remember that Ecopetrol has been working on this for almost a decade. So in terms of the technical work, understanding the opportunity, defining the potential, we've been working at this for a bit. And for the last couple of years, we've said, we want to conduct a pilot, and this would be an industry pilot, so with other companies as well. In which we test the concept and we say, first, is there actually the potential there? We think it is. But in terms of things like the environmental baseline for water management, for induced seismicity, for a lot of social considerations in the areas in which we would operate, we want to go ahead and do this, I've said this before, not necessarily fast, we want to do it well.  So there was recently -- or recently, we heard about a report that was presented by the expert commission that was appointed by the government to review 3 things. One, to talk to the communities in the areas where the pilot would be conducted; 2, to review regulations and what else we needed to do in terms of regulations; and 3, to review energy sustainability and sort of supply of energy in the long term for the country. So in terms of specifically, the dates for the licenses, we need to still review the report from the experts. Government is reviewing that report. There were a lot of caveats or conditions in such report that I think will be very timely and helpful to better plan what we have undertaken of the pilots. And the license award dates will depend on the authorities. So we've presented some licenses, we may present or will be presenting more request for licenses. And I think in the text, where we've described 2019 - 2021 plan, we said, yes, we've allocated $ 500 million for the pilots of unconventionals in the period, but it's subject to getting all the approvals. So we'll need to wait for that. And -- as in that sense, we'll be ready when the licenses come through to start turning right with the beat. Alberto?
Alberto Consuegra: Good morning, Gabriel. Thanks for your question. With regards to increasing sales in the midstream, the effect is twofold. The first one has to be with increasing the number of our reversion cycles that allows to get the Caño Limón production into the systems. In addition to that, we saw the benefit of a full year impact -- positive impact in terms of having the San Fernando-Apiay system available. So that's the conclusion in terms of increasing sales. In the overall performance, I would add that we have seen the benefit of maintaining the cost of sales almost in a similar way as 2017. I would add as -- again, that despite that we had almost flat volumes, there was a slight increase both in oil and refined products pipelines.
Operator: Our next question online comes from Pavel Molchanov from Raymond James.
Pavel Molchanov: Can we get an update on the current status of the Caño Limón pipeline. I know that's been a source of chronic aboveground militant issues last year, what's the latest on that?
Felipe Bayón: Thanks Pavel. Thanks for the question. This is Felipe. So as you well know, we've had last year and the beginning of the year issues and attacks that affect the Caño Limón pipeline. The pipeline though has operated in the past few weeks. We are working with the authorities to try to reestablish its operation. But I think it's important to remind ourselves the main impact for -- from the attacks is not operational or financial. The main impact is to the communities that live around the right of way for the pipeline. The main impact is to the environment, the main impact is to the water sources, and that's why, we strongly condemn the attacks. Because from an operational point of view, we've managed, as you well know, for the last couple of years, through the ingenuity of our staff, to revert some pipelines and use different sort of transportation systems to avoid impact on Caño Limón and the production of the Caño Limón field and those fields in Arauca. So I think that's the first bit I would share with you. Obviously, and I'll reinforce this, our intent is to restart the pipeline as soon as possible. But well, you all know, there is difficulties in particular with the border with Venezuela. There is some issues with the people that actually perpetrate the attacks on the infrastructure that can go freely across the border and the likes. But again, our commitment is to repair, restart the pipeline. And again, we condemn the attacks, as we know most people do, because it is the impact to the communities and environments that we need to really be worried about.
Pavel Molchanov: Okay, understood. When I think about guidance 720 mboed to 730 mboed for the current year, is that actual production that is currently offline because of either pipeline bombings or other deliberate attacks on your assets? Or disruptions?
Felipe Bayón: Yes, yes, absolutely. I understand the angle on this. But I would say that for the last few years, we had not had any deferred production because of -- or as a result of attacks on the infrastructure. So I think -- and I appreciate you asking for us to provide the clarity, because I think that's the main point. So from an operational point of view, we haven't seen impacts because, again, we've managed to divert the export of the crudes from Arauca through different routes. And unlike, some -- many years ago, where we saw that if the pipeline was attacked and we had to stop the pumping. We needed to start deferring production from Caño Limón. So in terms of guidance, that's how we view it because we've managed to demonstrate that it's doable, and we've done that in the last couple of years.
Operator: Our next question like him from Andres Cardona from Group.
Andres Cardona: I have some questions about production. If you can maybe share the exit rate for 2018 production? Also, if you can provide some detail about the number of rigs you are targeting to have during the first quarter and potentially in 2018? Do you have some visibility about this? Also, you can share the view about quality discount given the restrictions to Venezuela on crudes? And the last one is there any update about the dispute with Frontera about pipeline contracts?
Felipe Bayón: Okay, well, thanks. First thing, I would say that we did exit the year on average for 4Q at 733,000 barrels. So that was I think very good exit rate, and we started the year strong -- very, very strong. For 2019, I was referring to this earlier, we've envisaged to be in the range of 720 mboed to 730 mboed. So again, good, good, year-end in 4Q. Strong start for this year. In terms of the numbers of rigs, we have 41 rigs running. It's a massive increase or it's an important increase from sort of the mid-20s where we were a year ago, and we intend to continue keeping those rigs running. And remember that we've managed to continuously bring the wells in shorter time. So with the same number of rigs, we actually manage to drill more wells. So I think that's important. In terms of implications or restrictions on Venezuela crudes, I'd like to say that Ecopetrol has become a reliable predictable source of crudes. You've seen in the report that we have increased the percentage of our deliveries to China. And again -- well, who knows what's going to happen in terms of Venezuela, we keep a very close eye on supply and demand. And again, important is that Ecopetrol has become a reliable and predictable source of crudes.  And in terms of Frontera and we've said this before, we think as the Ecopetrol Group that we have a very, very, very strong legal position. We obviously are approaching this with all the legal avenues that we have, and we will defend the interest of the group with all our resources and efforts. And we've said this before, we disagree with the position that Frontera has taken on this and that basically informs what we've -- why our position is a position I have just related to you, Andres. Thanks.
Andres Cardona: Felipe, if I may add a last one. The $1.2 billion CapEx from Caño Sur project, that should include any facility development? And if you can elaborate about the qualities of this facility or potential facility?
Felipe Bayón: Yes, I'll ask Rafael Guzman to take this one, Rafael?
Rafael Guzman: Andres, good morning, and thanks for the question. Yes, the development of Caño Sur has been done so far with temporary facilities, and we're happy with the results of the wells and the production increase. For the second phase of the development that the $2 billion that you mentioned include new facilities and more wells as well. It is a project that we envisage to accomplish in several years. It will take time to employ those $2 billion as we move along with drilling and increasing the facilities. So yes, you're quite right in saying that this CapEx includes new facilities for the field.
Jaime Caballero: Are we still on the line, good. Just a quick -- to complement something around the impact of the Venezuela restrictions. From a commercial standpoint, one thing that we are seeing of course is a big strengthening of the favorable differentials in terms of the crudes that we sell. So in addition to reliability factor that is kind of consolidating in terms of supplying reliably to our customers, that the basket in the early part of this year, is strengthening versus what we saw in 4Q. Directionally, what I could say at that stage is that, compared to the double-digit native differentials that we were having in 4Q of last year, we are now back to single digits.
Operator: Our next question in line comes from Lilyanna Yang from HSBC.
Lilyanna Yang: I have two quick questions. One is on midstream. Could you give an update on the delayed rate review process for it in terms of ROA indications? And the second question is regarding appetite for acquisitions or for more on Brazil pre-salt assets. Could you just give us color if you feel more confident that today or this year, you would be able to expand in those areas as opposed to your view 6 or 12 months ago?
Felipe Bayón: Lilyanna, this is Felipe. Good to hear from you. So I'll start from the second one, and then I'll pass it over to Alberto. So in terms of Brazil -- and I think as we've informed the market before, we are very, very pleased with the 2 blocks that we entered to in last year -- during the last year. And we've been very explicit that one is still pending the final approval from the regulator. But clearly, we think this is a game changer or could be a game changer for the company. And we're very pleased with the partnerships that we've managed to establish with world-class companies. And in terms of additional assets, there is round 6, there is round 16. So we're clearly looking at continuing to strengthen the presence in Brazil. We've said it's a strategic region for us, and we will act accordingly in the future. In the past, we've said, we wanted to increase our presence in the U.S., we've done that. We've said, we wanted to go into Mexico, we've done that. We wanted to go into Brazil, and we've done that. So there is obviously delivery against strategy. So I'll ask Alberto to talk about the midstream. Alberto?
Alberto Consuegra: Lily, thanks for your question. With regards to tariffs, I have to tell you that the new tariff scheme will be issued by the Ministry of Mines by July this year. We don't expect fundamental changes in terms of tariffs, and we expect them to continue at the same levels we've seen in the last year. Both senate and the private shareholders and the subsidiaries continue having a strong position defending the tariff scheme that currently we have.
Operator: Our next question online comes from Daniel Guardiola from BTG.
Daniel Guardiola: I have a very good question here. It's basically related to Venezuela. Now you know that a potential political change in Venezuela is once again growing headlines. I would like to know if you guys can share with us your thoughts on the potential opportunity for Ecopetrol if indeed there is a political change in this country? And my second question, if I may, is regarding Mexico. I wanted to know if you're still considering to further increase your footprint in Mexico, considering the new administration that took place recently in Mexico? So that's from my end.
Jaime Caballero: Daniel, this is Jaime. On Venezuela. Basically what we can say at this stage is we are, of course, monitoring the situation. What is happening there has a commercial implication to our activities, as I described a moment ago with regards to our crudes. We're also looking at what indications that might have in terms of gas supply for the country and other indications. I think our priority at this stage is to comply with the sanctions that have been announced. We're looking at that in a very systematic and rigorous way, and that is our priority, compliance. Other than that, in terms of the outlook, we have to wait and see what happens. With regards to Mexico, we are also in a monitoring situation. We have a very strong relationship with Pemex that gives us confidence with regards to the investments that we've made that over the last couple of years. Of course, the political situation is something that we are looking into to see if we should deepen our situation, but in terms of our activity set, and our plans, they remain unchanged as of now.
Operator: And our final question comes from Bruno Montanari from Morgan Stanley.
Bruno Montanari: I have two questions. First one is on taxes and capital allocation. Just reading the release you mentioned, there was a prepayment of taxes, I think, of about $1 billion. I wanted to check if there was any kind of financial advantage, or rebate or a discount for the prepayment? And then along with the dividend. So how should we think about allocating cash in prepaying taxes and doing an extraordinary dividend vis-à-vis perhaps, increasing exploration spending and drilling more development wells to try and accelerate the production growth? That would be the first theme. And the second theme is just to follow-up on the cost question from earlier about the EOR projects. If you try to think about the numbers more specifically and I look at the lifting cost of the fourth quarter at $9.02 per barrel. Would you say that that level should be sustainable, including EOR and steam injection? Or should we perhaps think in the long run, this could go closer to $10 or above?
Jaime Caballero: Bruno, thanks for your questions. On the matter of taxes, the prepayment of taxes that we made in December of last year was a function of a decree that government put out that gave us the option of basically prepaying taxes that were associated with our level of exports. And the benefit to Ecopetrol around that, there is two benefits. One, there's a benefit around our overall cash management. We were in a position where it was not optimum for Ecopetrol to enter the year with such a large cash position. So in that regard, there was a benefit around that. And the second one, and very practical benefit, was with regards to -- that decree offered us a benefit to those that voluntarily adopted the prepayment. Some very favorable conditions with regard to the schedule of tax payment through the course of the year. That benefit in schedule which basically translates to 15 to 20 additional days every month with regards to tax submissions and payments actually has a favorable cash flow repercussion with us. And also, it has operational benefits with regards to paperwork and digital submissions and the like. So that's the reason why we decided to adopt that option.  With regards to the dividends, and the decision by the board of allowing for an additional 20%. Basically the analysis that the board undertook considered what was the cash flow needed to fund our operations, fund CapEx both organic and inorganic, fund the expected -- on the current actually dividend policy point forward as well as debt obligations. And the conclusion that the board reached was that the level of cash that we had entering into 2019 was one that allowed to fund this additional dividend without compromising, in any way, those 4 priorities. So and that's where we as a management actually stand. This does not have any negative implication to those 4 topics. We also maintained resilience with regards to potential downward cycles in price. With regards to the third point about lifting cost. And the only thing that I would add further to what Rafael has explained is that when you consider all those factors and you look at the plan towards 2021, essentially, we expect to remain in a range of $9 to $10 per barrel in lifting cost, considering all the factors that you mentioned in your question.
Operator: There are no further questions at this time. I'd like to turn the call over to Mr. Bayón for closing comments.
Felipe Bayón: Thanks again, everyone for participating in this conference call. We appreciate the work you do in reviewing our results and also very importantly, in providing us very, very valuable feedback. In terms of what we're doing well, some things that we need to focus on be really appreciate it and it is something that we take very seriously and that actually helps us inform some of the things that we do. Company is in a very, very strong operational financial position. We've delivered on strategy, on something so we've actually delivered earlier and what we expected and next week, we will have the opportunity of seeing a lot of you guys in -- both in New York and London as we have investors -- investor days and we have the opportunity to review some of this things in detail, and not only about results but about the 2019-2021 plan. So thanks again everyone and have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.